Operator: Good morning. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Weatherford International First Quarter 2012 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. (Operator instructions) As a reminder ladies and gentlemen, today’s call is being recorded. Thank you. I’d now like to turn the conference over to Mr. Bernard Duroc-Danner, Chairman, President and Chief Executive Officer. Sir, you may begin your conference.
Bernard J. Duroc-Danner: Thank you. Good morning, everyone. John will read his prepared comments, and I’ll do the same as usual.
John H. Briscoe: Thank you, Bernard, and good morning, everyone. Before my prepared comments, I would like to remind listeners that this call contains forward-looking statements within the meaning of applicable securities laws, and also includes non-GAAP financial measures. A detailed disclaimer related to our forward-looking statements is included in our press release which has been filed with the SEC and is available on our website at weatherford.com or upon request. Similarly a reconciliation of excluded items and non-GAAP financial measures is included in our press release and also on our website. Finally, in order to allow more callers to ask questions, I ask each caller in the Q&A to limit their questions to one initial question and one follow-up question. In the first quarter 2012 we generated net income of $123 million or $0.16 per diluted share. On a non-GAAP basis, first quarter net income is $190 million or $0.25 per fully diluted share compared to non-GAAP net income for the fourth quarter of 2011 of $159 million, as detailed in the non-GAAP reconciliation table in our earnings release. First-quarter net income was unfavorably impacted by certain excluded items highlighted in our press release totaling $67 million on an after-tax basis. The excluded items for the first quarter were primarily composed of $25 million net of tax for severance substantially related to executive officers and $40 million of discrete tax items. Discrete tax items are primarily changes in estimates and uncertain tax positions that are not directly related to current year operating results. Due to the nature of these items, they cannot be accurately forecasted and are not considered when we provide guidance on our full-year effective tax rate. In order to provide greater transparency to our income tax numbers and increase clarity to our operating results, beginning with this quarter we will break out discrete tax items separately and include these items in our reconciliation of GAAP to non-GAAP financial measures schedule, which is the next to last page of our earnings release. This will allow you to clearly see our operating results on a normalized basis and the taxes related to our current operations. You will also be able to easily track our progress towards our tax guidance in the current year and track future year reductions in our effective tax rate on a truly comparable basis. First quarter revenues of $3,599 million were 3% lower sequentially, but 26% higher than the same period last year. North America revenue was up 29% versus the first quarter of 2011, and up 3% sequentially. International revenues were up 23% versus the same quarter of 2011, and down 8% sequentially. Artificial Lift, Wireline and Completions posted strong sequential growth in North America, but these increases were more than offset by declines in Stimulation, Drilling Tools and Fishing which were penalized by declines in natural gas plays in North America. Seasonal declines in Russia, North Sea and China as well as budgetary cycles in Latin America were the primary factors impacting international sequential revenues. Segment operating income of $554 million improved 57% over first quarter 2011, while declining $57 million or 9% sequentially. Segment operating income margins of 15%, improved 3% over first quarter 2011 while declining 2% sequentially. North America revenues increased 29% year-over-year, and 3% sequentially with operating margins for the quarter declining 200 basis points sequentially to 21%. International revenues increased 23% year-over-year and declined 8% sequentially with operating margins declining 80 basis points sequentially to 11%. Corporate, general and administrative expense of $64 million increased $7 million compared to the prior quarter, primarily attributable to additional professional service fees incurred in the first quarter. The record high level of corporate costs in Q1 will decline to an average below $55 million per quarter for the remainder of 2012. During the first quarter 2012, we generated EBITDA defined as non-GAAP operating income plus depreciation and amortization of $729 million with depreciation and amortization of $301 million compared to EBITDA of $779 million and depreciation and amortization of $289 million in the prior quarter. Capital expenditures were $483 million for the quarter, net of $30 million lost in whole revenue, while approximately 13% of revenue. Full year 2012 CapEx is projected at about $1.7 billion. Actual CapEx in the second half of the year will be driven by how we see our incremental growth developing in 2013. Net debt for the quarter increased $317 million primarily due to increases in capital expenditures and working capital metrics for accounts receivable and inventory. Days sales outstanding increased from 78 days in Q4 to 84 days in Q1. And days sales in inventory increased six days from last quarter to 83 days. These increases are typical phenomenon in the first quarter. We plan to improve on these capital metrics in 2012 and 2013 as we focus on process improvements in both areas, and target 76 days and 75 days for receivables and inventory respectively by the end of 2012. We expect to close on the disposition of non-core portion of our operations in Q2 representing revenues of about $30 million per quarter and operating margin of about $8 million a quarter. Total consideration of about $160 million will be, 50% in the form of common shares and 50% in preferred shares, which are equivalent to the venture of the acquiring company. While this disposition will not have an immediate cash impact, we expect to monetize the preferred shares with in about 18 months generating about $80 million of cash. We estimate we will recognize a gain in Q2 of approximately $60 million which will be an excluded item for purposes of reporting our Q2 non-GAAP earnings per share. We expect one or two more dispositions this year or into early 2013. Subject to the risks and uncertainties regarding forward-looking statements highlighted in our press release and public filings, we expect North America should decline with the traditional Canadian breakup season. However, the Eastern Hemisphere and Latin America should make up for the decline in Q2. We expect Q2 to be about flat with Q1 at the operating EBIT line. Q2 non-operating costs are projected at about $53 million for corporate general and administrative costs, depreciation and amortization at the $305 million, interests at $127 million which includes an additional $0.02 per share per quarter of interest from our recent debt offering, and R&D levels as similar to Q1. While the Q1 effective tax rate has shown on the non-GAAP reconciliation schedule included in our earnings release is 33.4%, for full year 2012, I continue to estimate an annual effective tax rate of approximately 35% although the actual rate without excluded items may vary from quarter-to-quarter. This should yield non-GAAP quarter numbers without excluded items in the range of $0.24 to $0.26 per fully diluted share. We are making progress on the remediation of the tax material weakness, but I want to remind everyone, we cannot resolve this issue before we complete our year end reporting for 2012. Finally, so you can mark your calendars early, our second quarter earnings call is scheduled for Wednesday, July 25, at 7 AM Central Daylight time. I’ll now turn the call over to Bernard.
Bernard J. Duroc-Danner: Thank you, John. As expected the first quarter experienced seasonal declines from Q4 in both international and United States EBIT. Q1 always has seasonal declines except for Canada which bucks the trend. We had two additional factors this quarter; on the negative, winter breakup was early minimizing Canada’s positive effect while the United States came in a little short for non-seasonal reasons. On the positive, Middle East, Asia-Pacific improved its margins by just under 300 basis points as we gradually work to [tell] back to more normal level of profitability. Revenues sequentially declined by 3%, revenues year-on-year grew by strong 26%. Specifically Q4 and Q1 comments, the U.S. had modest seasonal decline that was made worse by weakness in pressure pumping, and full of other product lines, drilling tools and fishing as they transitioned away from gas fields. Canada had good quarter; but wasn’t as strong as we had anticipated largely because of a shorter winter season and early breakup. NAM revenues were marginally up, NAM margins declined by 200 basis points from 22.5% to 20.5%. Latin America, North Sea, Russia and Europe all experienced normal seasonal swings and they were as expected. Middle East, North Africa and Asia-Pacific started slow and gradual recovery with both operating income and margin improvements over Q4. This is in spite of typical seasonal declines in pockets of Asia. While [then] international was well-behaved, international revenues fell 8% sequentially, margins only declined 80 basis points despite seasonal, weather and budgetary factors. Year-on-year comparisons are particularly meaningful in the case of first quarter; Q1, ‘12 and Q1 ‘11 shows strong increases in operating profit companywide, and 26% revenue growth. North America is up $76 million with essentially flat margins, international is up $125 million 600 basis point margin improvements. First quarter’s non-operating or common numbers were marked by a very large increase in overhead associated with the quarter’s intense work on accounting for income taxes. The expenses quested almost a penny above and already very high Q4, and above $20 million or a couple of pennies higher than the normal course of business. As John has addressed, corporate expenses will decline in both absolute and relative terms in the next two quarters. Forward views, the prognosis is positive across-the-board, this does include North America. We remain constructive on North America both top line and margin, we know this is a minority view, it reflects our specific circumstances. We believe Canada will have a good year as the market predominantly oil-based and for us naturally high market share in Canada, we expect to do well as the year progresses. The U.S. now is strongly bifurcated market with oil rising from strength-to-strength and gas in full and sharp retrenchment. We have built a core position on and around the oil plays. As a result, we expect our U.S. business to be resilient and show year-on-year growth for both top line and operating profit. Margins will rise in second half of ’12 from where they are in Q1. The comments above are essentially the same we have made in the past few months. We remain of the view that notwithstanding a sharp drop in gas related activity, the oil and hybrid market segment are all product-mix focused to secure constructive 2012 in North America. To provide some context, in Q1, stimulation accounted for about 10% of North America EBIT, while lift accounted for over 25%. We do not see much weather downside for our North American stimulation product lines. By contrast, we see gradual volume in both pricing and absorption led margin improvements in lift for the balance of the year. Stimulation is unlikely to deteriorate, lift will improve materially and as it is, it weighs more than twice as much. Our North America product line and product offering is much more about lift, completion, well construction and formation evaluation, and stimulation. Latin America should have a good year grounded on continuous progress in Mexico, Colombia, Brazil and the foreign segment of Venezuela. We have a solid backlog of business and improved pricing. Execution will be the determining factor for financial performance. There is no change for our outlook here. The events in Argentina do not dent our perspective. The European, African and former Soviet Union has two levels of prognosis. The European region expects solid growth, revenues and margins centered primarily around the UK, Central Europe and Caspian. Sub-Sahara Africa also expects solid performance improvements and geographically broad-based. Russia should do further; we expect stronger growth and margin improvements in Russia. Russian progression is fueled by particularly strong backlog in drilling, formation evaluation, completion and well construction. Again, this is the same constructive outlook we have had for some time. Here also, there are no changes, just a greater sense of reliability. Middle East, North Africa, Asia-Pacific is the obvious turnaround, at least the Middle East/North Africa segment. We expect MENA to improve in the second half of ‘12, from both a top line and margin standpoint. We believe most unfavorable contracts will be completed by end of the first half of ’12, while most startups in Saudi, Kuwait, Iraq, et cetera will be successfully initiated. This suggests an improved level of profitability for the second half of year. Iraq in particularly will evolve into an operation of improving profits as the year unfolds. Iraq used to be a country of high profitability for us; it should return to reasonable profitability and return economics commensurate with the risk and difficulties undertaken. We do not anticipate an improvement in North Africa, Libya, Algeria until late in the year or perhaps ‘13. But the prior factors should be enough to fuel a significant improvement in MENA’s financial performance. Asia entered the year with a very strong backlog in China and Australia, to name its two largest markets. By year end, China will be our largest operation in Asia and a great success story. We expect Asia to show good improvements in all of its financial metrics for the year, Q1 is traditionally at seasonal low. Our international outlook for ’12 has been constructive in all our recent public commentary; it has been a lonely position till now. Today, we feel even more confident. We expect the year will show continuous improvements in international volumes and margins. Second half of the year should be markedly stronger, adding up for the year to about a 20% top line growth and roughly a doubling of operating income versus 2011. Finally, we incurred high expenses in corporate in Q1, we expect Q2 to show somewhat low level, a decline from there. The rise in interest expense though will offset the decline in corporate overhead to add long-term liquidity; we’ve converted short-term borrowings into 10 and 30 year notes. This is high-quality long-term capital, but the interest arbitrage as close to $0.02 a quarter in interest costs. All in, we expect 2012 to be a year of strong operating performance and a year of financial progression on all markets. We expect strong top line growth and gradually improve margins throughout the year. North America should hold its own and remain positive in revenue, EBIT and margin trends. But clearly, the international segment should drive the numbers. We also showed progress on returns as well as it seeks to secure a higher yield on its capital. We’re not only growth machine, we’re also focused on returns, both the [tooth] can be compatible and even symbiotic. Capital life, we expect to commit our internally generated cash to funding, while we anticipate we’ll be 15% to 20% top line growth, ‘11 on ‘12. We target our capital intensity to about $0.65 to $0.70 of incremental CapEx and working capital for dollar revenue growth. Given the incremental margins we set as yardstick, our returns will improve throughout this year and the next. Improving our returns and managing our capital more efficiently are strategic imperatives of this company. We expect to achieve this without losing the traditional growth and entrepreneurial strengths we’re all known for. On market’s capital efficiency, CapEx that would be both maintenance and growth combined should remain in the range of 10% to 15% revenues; it averaged 11% in 2011. Our target for year end DSO and DSI are respectively 76 and 75 or better. And assuming a comparable level of organic growth that is organic revenue growth, in ‘13 as we expect in ‘12 we should have solid free cash flow in ‘13 in excess of internal growth needs. Delevering will be likely use of proceeds there. The sale of non-core assets which John as reported on will continue, we will place it, depending on underlying valuation trends to realize maximum value over time. We will proceed a foot with disciplined divestment through ‘12 and ’13. Lastly, and consistent with John’s comments, in Q2 North America should decline with a traditional [period] breakup, the Eastern hemisphere and Latin America should make the decline. We expect Q2 to be above flat on Q1 at the operating EBIT line. Assuming the 35% tax rate and John’s various corporate numbers, Q2 should be therefore in a $0.24, $0.26 range or essentially flat to marginally higher than Q1. With that, I will return the call for the Q&A session. Please?
Operator: (Operator Instructions) Our first question will come from the line of Jim Crandell with Dahlman Rose.
Jim Crandell – Dahlman Rose: Hi, thank you. Bernard, I think your comments about China that you made that will be the biggest country in Asia-Pacific at the end of 2012 to be very interesting. To what extent does this reflect a rapid expansion of the shale play in China? And to what extent is this – Weatherford capitalizing on the market issue?
Bernard J. Duroc-Danner: It’s a combination of two things. On the one hand, it is – Weatherford being successful at selling what can we best describe that technology products in China for the development of unconventional shales in particularly.
Jim Crandell – Dahlman Rose: Yes.
Bernard J. Duroc-Danner: It is also a success we’ve had in the drilling segment of the business, in particular drilling for heavy oil, we have a integrated project that has been very successful, which is likely to double in size and that will drive the number also.
Jim Crandell – Dahlman Rose: Okay. Secondly Bernard, going to your comments about first quarter in the U.S. being the low I think for pressure pumping, and I believe also the low for U.S. revenues and profitability overall. Specifically, on pressure pumping does this mainly reflect the contract status of your pressure pumping business; it seems many of your peers are looking at declines from today’s rentals?
Bernard J. Duroc-Danner: I can’t speak for my peers, but in our case the product line is important. 10% of operating income is not a small number; on the other hand, it’s not that large. And given the status of where the equipment is, where the equipment is going, we don’t see when it comes to that particular product line, any – in absolute terms, absolute number any deterioration likely in Q2 and Q3. So they actually – stimulation actually dropped in percentage of the whole, that’s entirely possible. In absolute numbers, the operating profit should not; this should be the low for the year for us, that’s what we can tell.
Jim Crandell – Dahlman Rose: And do you have a lot of your equipment undue take or pay contracts in the stimulation business?
Bernard J. Duroc-Danner: I would say we have probably about half of it, but even that number is not terribly, terribly reliable because I don’t actually remember. I think that, the contracts that we have are contracts that are typically, have a life of about 18 months to 24 months. They are reasonable in all respects both from a client perspective, overall perspective. We are content with what we have, it’s not a core business for us, but it’s a business that has good returns. And I think the business, I wish I – best we can tell should have a reasonable outlook for the balance of the year.
Jim Crandell – Dahlman Rose: Okay, just a final question. Ben, I think do you reflect your greater optimism, would say about Russia. And when we, I guess published at last survey, we were looking at only really a high single digit improvement from the Russian company (inaudible) spending. And it seems to have gotten materially better than that with a number of companies increasing their budgets, do you think that’s just due to the increases in cash flow that these companies have gotten from better oil prices or a combination of improvements in economics. But we seem to have seen sort of a quantum improvement in the outlook for Russian exploration and production spending over the past three or four months?
Bernard J. Duroc-Danner: There are number of things. First, remember that Russian is oil field service essentially an oil market, gas formed as most of its work itself. So this is an oil play to spend the price of oil stays anywhere between $80 and $120, I’m referring to Brent, I’m not West Texas. Russia will do well, that’s one. Two, before the election, there was a change in the tax laws, for the 60/66 rule whereupon the upstream exports were favored versus downstream exports. As a consequence, a number of fields that were deemed marginal have now become in terms of economics attractive for our clients. So you have two phenomenons on the way, on the one hand, you continue to have the search for new reservoirs north and east. When I say north, I don’t mean Arctic, Arctic will come later, but north and east. Examples of reservoirs in the east would be anywhere from Vankor to VCNG, respectively for Rosneft and TNK. And then you have the pursuit of all the reservoirs tired oil or tight oil, which was passed in prior cycles in Western Siberia, in Volga-Urals, and in Timan-Pechora. The combination of both means that declines, first, moving the volume activity up to using a greater intensity of horizontal processes and multi-completion processes. And three, there is more and more side fracking of existing well bores as they seek to further drain some of the older zones. So all of that makes way for a company like us a very good market. I’d finally say that, I think TNK acquisition is maybe four years, it’s about four years behind us, and it is a testimony that, that acquisition was well integrated, and it appears to be well managed and has been really the infrastructure fuel that has helped us in Russia.
Jim Crandell – Dahlman Rose: Okay, great. Thank you, Bernard.
Operator: You next question will come from the line of Bill Herbert with Simmons.
William Herbert – Simmons & Company Intl.: Thanks, good morning. Bernard, to clarify a couple of issues here because you were speaking more quickly that I could write or process. First, I think you mentioned that international top line growth is 20% year-over-year for 2012?
Bernard J. Duroc-Danner : I used the word about roughly before, just to be careful because this isn’t hard to know the decision, but that’s about right. Yes.
William Herbert – Simmons & Company Intl.: Okay, good. And then secondly, with regard to your international margins, certainly this would be sort of conceptual roadmap that you framed is possible. I’m curious as to what your expectations are with regard to as you exit this year, where would you expect to be from a margin standpoint internationally, high-teens?
Bernard J. Duroc-Danner: Internationally, in the last quarter we’ll be somewhere, will be somewhere in the high-teens, yes, that’s correct.
William Herbert – Simmons & Company Intl.: Okay. And then what I would suspect, the most dramatic improvement being witnessed in the second quarter, and in steady improvement, Q3 and Q4 overall?
Bernard J. Duroc-Danner: I think you’ll see some good improvements in Q2. Yes, I don’t want to – tell you right, I think Q3 will go up also quite a bit, that that we can tell.
William Herbert – Simmons & Company Intl.: Most of weakness in MENA?
Bernard J. Duroc-Danner: Yes, that's correct.
William Herbert – Simmons & Company Intl.: Okay, and then last one from me is Canada with regard to the roadmap for, I guess both breakup and also second half. So it’s an area that we started breakup earlier and thus the quarter-on-quarter revenue declined, still that be significant or perhaps not as seasonally penal as it typically is. And one, is that correct; and then two, the roadmap for expected recovery in the second half of this year. Do you expect it to be sort of as normally vigorous as it is, better or worse?
Bernard J. Duroc-Danner: Your first assumption is fair meaning that the break up in the second quarter won’t be a severe decline as it could have otherwise been, based on the fact that Q1 wasn’t as strong as it could have been again for the same reason. The second half is moving, you’re absolutely right, it’s fair. The progression in the course of the year for Canada, Q2 and Q3, Q3 and Q4 strike off as reasonable. It’s not, I don’t think it’s going to be a [balm] burner, but constructive reasonable, those types of numbers, that’s definitely we can tell.
William Herbert – Simmons & Company Intl.: Okay, all right. Thanks very much.
Operator: Your next question will come from the line of Angie Sedita with UBS.
Angie Sedita – UBS: Hi, good morning guys.
Bernard J. Duroc-Danner: Good morning, Angie.
John H. Briscoe: Good morning.
Angie Sedita – UBS: There have been a lot of chatter from your peers about international pricing and potential positive change and sentiment. Can you give us a color on what you’re seeing in the market, and have you actually seen any actual price increases in your markets outside of Kuwait, and Latin America, which I believe had already been strong?
Bernard J. Duroc-Danner: Yes, we have seen instances of higher pricing, and this is reasonably broad-based. Second, remember that we really compete with (inaudible) only on about; I’ll call it a third of what we do. So in being the other two thirds, there was a couple of instances where we may have to compete with one of them depending on the particular product line, for the most part it could be without the people. And as a consequence, the pricing trends that we may see would be a little bit – maybe a little bit consistent perhaps, they’re little bit different than what the other two companies may report. So just remember this, what my assessment, Angie, on the pricing side, internationally is that, there has been instances of price increases, there are instances of price increases. As a broad-based it has really to do with the fact that the business volume is becoming good. So there isn’t any sort of stock of capacity of tools and people that are sort of linking out there, hoping to find work. It can always happen in particular countries, but it’s not true overall at all. And so there is reasonable tightness of both equipment and people. Business is always good; they’re possibly getting better as the market responds, as it always does to reasonably priced oil. One might say, even oil is a little bit high. So market is responding, international market is always slow to respond. They always sort of frustrate on the capital markets, but they do respond. And then it sort of comes as a surprise. But they are responding, and then therefore they are creating a conditional pricing increases by various contractors, and that’s flat. And that’s what you should expect, you should expect the international business to drives the numbers for a number of companies, and they also service the industry often particular. And pricing will be one of the elements, not the only one, there is also assumption that comes as a volume, which is also profitable.
Angie Sedita – UBS: All right, that’s fair enough on the cost side, and good color. So is your thought pricing continues to have a steady progression towards 2012?
Bernard J. Duroc-Danner: I think so, Angie. I think so, it depends on the product line, depends on the country. I think whatever has the higher technology content will tend to be better priced. I think what also attracts a lot of attention will tend to be not as well priced. I think contracts had a lot of publicity around them, and they very often tend to be deep water contracts, and tend not be terribly well priced. I think partly because of the human factor, which is a competitive nature of the things. But other than those examples, I think yes, I think there is – there are legs to pricing, definitely, any kind of markets, again broad based.
Angie Sedita – UBS: Perfect. Perfect, thanks. And then one quickie for, John, thinking through 2013 on the tax rate, could we be at that 30% level or even potentially the high-20s, potentially and is 25% achievable long term or is that still unclear?
John H. Briscoe: Angie, it’s for me, it’s still early days, but I think directionally you’re absolutely right that 2013 directionally, we used to continue to see our Texas tax rate decline. I may be able to get better clarity on that next quarter when I have a little more seasoning behind me. But I think you’re absolutely right from a directional standpoint. And longer term, I think the 25% number that you’ve put out there is a good goal for us to work towards. That will depend on the mix of where we are in our income, it needs to be levered much more towards the international side of the business for us to continue to progress towards that level, but that will be a multi-year progression for us. It’s not something that we will be able to achieve in short or medium term, but it’s definitely a goal that I have on my way forward.
Angie Sedita – UBS: Perfect. Perfect, thanks guys. I’ll turn it over.
Operator: (Operator Instructions) Your next question will come from the line of James West with Barclays.
James West – Barclays Capital: Hey, good morning, gentlemen.
Bernard J. Duroc-Danner: Good morning.
John H. Briscoe: Good morning.
James West – Barclays Capital: Bernard, you’ve made some – you’ve been making definitely strong statement about international during this call and in previous calls and statements of course that we agree with. I’m curious as you think about the numbers you’d put out, 20% top line growth internationally, I think you said it double in our operating income and correct me if I’m wrong on those numbers, but what do you see as the biggest risk to achieving those types – that type of growth, is it places like North Africa, well, it seems like you don’t actually counting North Africa or at this point, given that we are in late April, you can kind of upgrade visibility on kind of the rest of the year?
Bernard J. Duroc-Danner: Well, first of all the numbers are correct, so you had them right. Again, some of our estimates will be bit more or be bit less, but it should be in the range. No, North Africa has nothing to do with this, we’re very cautious on North Africa. And generally, we tried to be quite cautious in our assessments, so North Africa is not considered here. The biggest risk is re-execution, which is the function of the quality and the creating of our people and supply chain. The business in terms of having the contracts and the volume of business and the assignments whether it’s products or services or bundling or integration, no, that is in hand, I don’t see that as a risk. Really, it’s down to execution, I said, training of people, supply chain, actually those also acts of god. But that’s about the (inaudible) – those are the risks to deliver what I think would be good performance for the international segment and I think the beginning of a number of years the good performance for the international segments. These international cycles are not short, they are interrupted by major disruptions in the world if there are any, but they are not short.
James West – Barclays Capital: Sure, sure. Okay, good to hear, and then just one follow-up for me. With respect to North Africa, Algeria, one time was a pretty good market for you. It seems like the prognosis there is not great at least for this year, could you give us may be a quick update on what you’re seeing in that market?
Bernard J. Duroc-Danner: Not a lot. We’re seeing some continuing inertia, certainly some good intentions. But I don’t see any – for us at least, I don’t see any reasonable timeframe for things that turn volume wise, activity wise this year, things are very, very slow. So that’s why set it aside, Libya is a different [category], of course Libya is a function of the category getting organize, that’s an entirely different story. But Algeria is just in, just dramatic inertia.
James West – Barclays Capital: Okay, got you. Okay, thanks, Bernard.
Operator: Your next question will come from the line of Joe Hill with Tudor, Pickering, Holt.
Joe Hill – Tudor, Pickering, Holt & Company: Good morning, guys.
Bernard J. Duroc-Danner: Good morning.
Joe Hill – Tudor, Pickering, Holt & Company: Bernard, I’m going to ask you a little bit more of a qualitative question here. When you determine your budget for international, is that really driven by bottoms up forecasting or top down?
Bernard J. Duroc-Danner: Bottoms up really, and it’s continuously reviewed. There is – companies run themselves differently depending on the style. Here there is a very large corporate, there are some high corporate expenses, but the corporate organization is not a very large organization. There is a great symbiosis between the people who call themselves corporate and the operation, which means we live together, which means that the number not only roll continuously bottoms up, but actually we have direct customer visibility of them, what’s going on them in the ground. So mostly grounded on reality, on continuously updated reality.
Joe Hill – Tudor, Pickering, Holt & Company: Okay, and thinking about the 20% top line guidance, can you give us a sense as to how much of that is backlog driven and those has a very high degree of visibility relative to maybe some assumptions about pricing improvement?
Bernard J. Duroc-Danner: No. No, there’s no assumptions about – we are late April. Where a company like – in our business, given the lead times and the supply chain, implications of things, you should have some visibility for what’s going to happen in your international markets now and year end. And so I would have to say, that the vast majority of that is just grounded on contractual facts.
Joe Hill – Tudor, Pickering, Holt & Company: Okay. That’s great insight. And then switching gears to North America really quickly, can you give me some sense as to why drilling tools, which I believe for you guys is primarily pipe and a BHA type equipment, and fishing are sensitive to the migration of oil basins?
Bernard J. Duroc-Danner: In fact you’re right. But it’s not only pipe and bottom hole, it certainly shows some pressure control equipment, but you’re absolutely right. I think it’s just serendipity, in this case, negative serendipity meaning there is a few instances, we happen to be on place that basically curtails, shutdown and they couldn’t move fast enough for oil and liquid base. In these particular product line, you’ll find numbers will turnaround in Q2, usually it is.
Joe Hill – Tudor, Pickering, Holt & Company: Okay. So it could be more idiosyncratic than indicative of the market for those businesses?
Bernard J. Duroc-Danner: Oh, completely. I’m pleased with that way, because it will be incorrect to use it any other way. Idiosyncratic is a better word than serendipity, negative serendipity, yeah.
Joe Hill – Tudor, Pickering, Holt & Company: Okay. I’ll turn it over. Thank you very much.
Bernard J. Duroc-Danner: Thanks.
Operator: Your next question will come from the line of Robin Shoemaker with Citi Group.
Robin Shoemaker – Citi Investment Research: Thank you. Good morning. Just a clarification, in previous quarters you disclosed revenues by product line, and now you’ve kind of lumped them together, is that going to be your practice going forward?
Bernard J. Duroc-Danner: Maybe, John will have one to add to it, I’ll just say, give you one for as an answer. The only reason that this was down is because this is the way it’s reporting. In terms of product line management, which is different than the regional management and country management that’s the way the product line are being run from an organization standpoint. And I will turn it to John, if he want to add to this.
John H. Briscoe: Rob, I can add few additional comments to that. What I tried to do is to align our reporting with how we look at our product lines internally. And we view our product lines into these two umbrellas and we thought that that actually aligned what we’d report better with how we look at things as well as similar to the way our peers report product lines.
Robin Shoemaker – Citi Investment Research: Okay. I understood thank you. So what I was really interested is artificial lift, which over recent quarters had shown a nice revenue progression. And I was wondering if you could kind of describe the outlook here? Bernard, also just in terms of the various lift technologies that you are involved in and what seems to have the most traction in the marketplace between the various forms of lift that you compete in?
Bernard J. Duroc-Danner: The outlook for the balance of the year is consistent whether North America or International, which is both volume growth, absorption growth, and then margin pickup and also pricing. And I can’t give you in the sense of the later because it depends on what part of the world and also you have to be careful these are backlog led businesses. So they tend to go through the P&L with something on the order of six months lag from the time you increase pricing. But I do think it’s safe and I’m telling you that there are, there are volume increases that are coming in the next quarters through the first half of 2013; there is absorption benefits that come with it, both supply chains and also as a service allocation; and then there is pricing. So it’s an improving, it’s an improving sort of economics. I will give you another indication of where we are today, which I don’t normally give out, but this will be for North America, but I just don’t have it of hand for the rest of the world. The margins are roughly (inaudible) roughly consistent with the margins of the overall North America margins today, but now they will cross that and go beyond. Okay?
Robin Shoemaker – Citi Investment Research: Okay.
John H. Briscoe: Robin, I can add additional point of color for you, if that helps. Artificial lift for Q1 was about – a little over 19% of our total revenues compared to the prior quarter when it was down at 17% and [some change].
Bernard J. Duroc-Danner: The artificial lift product line has an objective of their own, which I would now represent as the objective of the company as a whole, because I think it depends on things turn out, but we’d like for it to represent 25% of the company as a whole. It is entirely possible, but it depends how fast or how well beyond the process of this lines perform. With respect to your other questions on technologies and so forth, well, there are five forms of lift and they don’t really compete with one other, they do at the margin, there are zones in which they can compete. They typically have their own applications. There is also opportunities for cross breeding of putting two forms of lift together and hoping to get the best of both. But to simplify to answer given this is a conference call, there isn’t not much time, I’d say Robin, the one segment that shows probably the strongest growth is production optimization, which is the ability to – first, the run the artificial lift system, to run a field on artificial lift, to run it remote – so in a remote control sort of way, minimize power consumption, minimize maintenance and repair, but also rather extent the life of the pump and maximize, which is sort of the most important, maximize the fluid uptake. That is showing the most, I think the fastest growth in overall – in the artificial lift growth.
Robin Shoemaker – Citi Investment Research: Okay. Is that principally an ESP or rod lift technology?
Bernard J. Duroc-Danner: No, no, that is – I’d have to say that, we have about 350,000 wells worldwide that we either monitor, which is the lowest form I think of service we can offer, all the way up to about 125,000, 150,000, I forget it, wells where we actually perform absolute optimization, which what I am describing. Those wells may very well be ESP versus rod lift versus PCP versus hydraulic lift versus gas lift. It depends on the field. I don’t think the pump [cares], in other words the pump can be optimized under any circumstances, the field can be optimized under any circumstances, it doesn’t matter what form of lift being utilized. Under all circumstance again, I would have to say that in the forms of lift that we optimize, probably my number is going to be wrong, but I would have to say that ESPs, which we don’t participate in directly or we probably don’t want to participate in directly that form of lift probably represents about 20%, 25% of what we do in production optimization or may be more.
Robin Shoemaker – Citi Investment Research: Okay. Thank you.
Operator: Your next question will come from the line of Kurt Hallead with RBC Capital Markets.
Kurt Hallead – RBC Capital Markets: Hi, good morning.
Bernard J. Duroc-Danner: Good morning, Kurt.
John H. Briscoe: Good morning.
Kurt Hallead – RBC Capital Markets: Okay. Bernard, it’s my follow-up question, a lot of – on, you guys have gone a long way, provide us with lot of detailed information and general guidance points for the remainder of the year. I do appreciate that. I guess might also, just kind of take it the full distance here and looking at your different geographic regions internationally, you just had, best way to say it, off the chart growth in Latin America, if we did the math correctly, over 60% year-on-year growth in the first quarter versus the year-ago, that's almost 2.5 to three times what the peer groups had done. Can you shed some color on that please, because just given the magnitude of the growth and the magnitude due to the growth differential just really have, where is it coming from? I know you mentioned Brazil, Colombia, Mexico et cetera, what is the source, what is the product lines and does it look like you put up another 40% growth here in Latin America this year?
Bernard J. Duroc-Danner: Well, Kurt, and probably the easiest will be for me to give credit and pay homage to the regional management. Latin America, I’ll also say that, remind you that, the gentlemen who is our Chief Operating Officer and good friend and partner. For me Latin America was his (inaudible), until about two, three years ago where he picked up the Western Hemisphere and ultimately all of Weatherford. So I could pay homage to my friend Peter also. But beyond doing that, I would say that one tends to focus a lot on the Brazilian market as in deepwater and that's sort of where you much of the attention is on. And that's very, very important. Yes, I know there is, again I said, there is deepwater and pre-salt plays in Brazil, unclear. And you can mention a few other offshore plays here and there, but fundamentally Latin America is a land play, where do we do the best, on land. It is not surprising that I just finished saying that we were doing very, very well in Russia and still went alone, in terms of prognosis, and of course we’ve done well in Latin America, given the type of market it is. And that’s not taking weight on any of the compliments, I have tried to extent it on my colleagues. I would say lastly that, Latin America has done well, because we have a very broad infrastructure in Latin America. We don’t depend on any one particular market. When I say, broad, I not only mean we are very present, as you know in Mexico, in Venezuela, in Brazil, in Columbia and Argentina, all those markets. We’re also present in some of those smaller markets that are highly profitable, like Peru and Ecuador, and Bolivia, for example, and tomorrow the likes of some of the other solar markets will open in Latin America, like Uruguay. Correct, this – all of that, I think that has met good performance, but the net net other than say, thank you to our management, the real I think the important point is that, it is a market that is very much a softer market, and we should expect us to do well.
Kurt Hallead – RBC Capital Markets: All right, it’s a fair answer. Now on the once again hitting back to kind of the – across the original question, which was, you see Latin America revenue growth again in the 40% range in 2012 and then how would you see the other two regions panning out, I know you gave it the overall growth number once again, and that will take it over goal line here and complete the process. So Latin America maybe close to 40%, where do you see the other two regions growing at?
Bernard J. Duroc-Danner: Well, actually, Latin America will take a breath in 2012. And put in other way, I don’t see Latin America growing a lot more than the overall average, I don’t. Exactly, Latin America should be closer to 20%, I think actually that Latin America will have even more of a spring, because 20% growth is nothing to be shamed of. The biggest spring in 2013, and so far some of its markets will really, really, really expand in 2013, a good example New Mexico. But, so ’12, if you look at Latin America, more than 20% total number top line and so, you will not be able to ask me the same question in three or four quarters, and why this extravagantly well.
Kurt Hallead – RBC Capital Markets: And in the other two areas, you would say would be at that 20% range as well…
Bernard J. Duroc-Danner: Unfortunately, it makes our team for a momentarily exciting sort of differentiation, but that is correct. I mean, it’s roughly how we see it.
Kurt Hallead – RBC Capital Markets: All right. That’s good. That’s really all I had. Thanks.
Operator: Your next question will come from the line of Scott Gruber with Bernstein.
Scott Gruber – Sanford Bernstein & Co.: Thanks.
Bernard J. Duroc-Danner: Good morning.
John H. Briscoe: Good morning, Scott.
Scott Gruber – Sanford Bernstein & Co.: Good morning. A quick question on the pending disposition, it generates good margins, which geo market is that reported?
Bernard J. Duroc-Danner: A lot of it, in the European market not only, but you should assume predominately in Europe, it’s the North Sea park line, service line rather.
Scott Gruber – Sanford Bernstein & Co.: Okay.
Bernard J. Duroc-Danner: It’s a subsea related. It’s a subsea, North Sea service line, one which had no great, I think maybe good, but no great direct future within Weatherford, that’s not our direction.
Scott Gruber – Sanford Bernstein & Co.: Right. I’m just wondering about the margin progression in that geo market. Are you still confident that you can overcome the margin hit?
Bernard J. Duroc-Danner: Yeah. The assessment we gave you had these numbers taken out.
Scott Gruber – Sanford Bernstein & Co.: Yeah.
John H. Briscoe: That’s correct.
Bernard J. Duroc-Danner: Because this acquisition had been worked off in the past four months.
Scott Gruber – Sanford Bernstein & Co.: Okay.
Bernard J. Duroc-Danner: I mean this divestiture. I’m sorry not acquisition, divestiture.
Scott Gruber – Sanford Bernstein & Co.: Yes.
Bernard J. Duroc-Danner: So this is something we could see coming.
Scott Gruber – Sanford Bernstein & Co.: Got it. And then turning back to China, given the growth in that market looking at their hydrocarbon development plants, you know they are guiding now for about 0.7 Bcf a day of shale gas production by 2015, which is quite small relative to what we do in the U.S. So if it is correct to assume that the heavy oil work will constitute the vast majority of your growth in that market over the next few years?
Bernard J. Duroc-Danner: Next few years, I think it will be more balanced. Over the next, let’s call 12 to 18 months heavy oil will be the most important part of the growth, but there will be also presences on and around some of the early development for shale plays primarily for Chinese.
Scott Gruber – Sanford Bernstein & Co.: Got it. And then if we exclude Iraq from the Middle East Asia geo market margins is the Chinese work accretive to regional margins?
Bernard J. Duroc-Danner: Yes, yes, of course.
John H. Briscoe: Yes, it is Scott.
Bernard J. Duroc-Danner: Of course.
Scott Gruber – Sanford Bernstein & Co.: Okay.
Bernard J. Duroc-Danner: Yes, it is.
Scott Gruber – Sanford Bernstein & Co.: That’s all from me. Thanks.
Operator: Your next question will come from the line of Mick Urban with Deutsche Bank.
Michael Urban – Deutsche Bank Securities: Thanks. Good morning.
Bernard J. Duroc-Danner: Michael, good morning.
Michael Urban – Deutsche Bank Securities: Shifting back to North America for a second, you talked about I guess stimulation about 10% of North America EBIT. Of the businesses that hurt you in the gas and the oil shift, which I think an additional stimulations to drilling tools and fishing, and sounds like they’re going to recover. What does that represent in terms of the contribution in the quarter, just trying to handicap kind of what is stabilizing versus that might recover?
Bernard J. Duroc-Danner: Look, I’m going to say something, and John will correct me, because I’d say that, if you look at there’s two things in United States, there was little bit of seasonality, there always is, but not much in Q1 for United States. I would say that the shortfall in what we expected, I’d say stimulation represented about 60% of it, and the other two combined about 40% of the short fall.
Michael Urban – Deutsche Bank Securities: Okay.
John H. Briscoe: That’s directionally correct.
Michael Urban – Deutsche Bank Securities: Okay, that’s helpful. And on the asset sales, so you talked about the one that’s going to close here in Q2, and then maybe a couple of more. In total does that get you to the roughly $500 million number that you had kind of targeted previously, and if not, is that still the long-term target or are you now seeing these businesses approve a little bit, maybe you want to (inaudible)?
Bernard J. Duroc-Danner: Look, I think that the sales business we’re selling will bring in at least on equity and debenture little bit on $200 million. I think the other two; I have a pretty good idea of what we hope to get for them. If the other two were to sell, and we’re very careful to get proper valuation, so we’re very disciplined about that. Again, so I mentioned it depends on the underlying valuation tone, if the other two sell, I would say that, the three of them combined would exceed the $500 million mark. So I don’t think there’s anything terribly daunting about $500 million mark. When it is more daunting, it’s to get proper valuations of things, and just getting it done. I think at the end we’ll sell probably we’ll divest quite bit more than just $500 millions worth of proceeds, but it will take time, Michael, we have to be patient.
Michael Urban – Deutsche Bank Securities: Okay. That’s helpful. The rest of my questions were answered. Thank you.
Bernard J. Duroc-Danner: Operator, we’ll just have one last question, because I think we’re taking too much time.
Operator: Your final question will come from the line of Bernd Pomrehn with MainFirst.
Bernd Pomrehn – MainFirst Schweiz AG: Yes, good morning. Thank you for taking my question. Bernard, in February, you mentioned that for North America you’re expecting an incremental EBIT margin of north of 30%. Are you currently in the position to update this guidance for 2012? Thank you.
Bernard J. Duroc-Danner: I think (inaudible) on that question is a purely financial question for John. Have your view on this, but I’ll let John probably answer it.
John H. Briscoe: And the question was the North America EBIT margin and…
Bernard J. Duroc-Danner: Incremental revenue…
Bernd Pomrehn – MainFirst Schweiz AG: Incremental EBIT margin…
John H. Briscoe: Incrementals on revenue in North America is inline with what we would see across the company for top line growth in North America year-on-year.
Bernd Pomrehn – MainFirst Schweiz AG: For top line growth, yeah. And the incremental EBIT margin for the North American business in 2012, full year 2012?
John H. Briscoe: Full year 2012, we see as flat-ish to up at the EBIT margin level. So holding it down with a potential uptick, and maybe some upside there.
Bernd Pomrehn – MainFirst Schweiz AG: Okay. Thank you.
Bernard J. Duroc-Danner: That concludes our conference call. Thank you very much for attendance.
Operator: Ladies and gentlemen, this does conclude today’s conference. Thank you all for joining, and you may now disconnect.